Koichi Yatsuda: It's time for us to start to appear as a Financial Announcement for the Second Quarter of Fiscal Year Ending March 2025. Thank you very much for joining us today. Despite your busy schedule, I am Yatsuda of IR Department serving as a moderator for today's session. I'd like to introduce today's attendees; Mr. Toshiki Kawai, Representative Director, President and CEO.
Toshiki Kawai: I am Kawai. Nice to meet you.
Koichi Yatsuda: Next, Mr. Hiroshi Kawamoto, Senior Vice President, General Manager Division of Finance Division. Before starting the presentations, let me explain the flow of today's session. First of all, Kawamoto and Kawai will make presentations after that until 6:30 Japan time; we will have a question-answer session where we entertain questions from the audience. This meeting uses two channels of Webex for the simultaneous interpretation between Japanese and English. As we explained in our email, you are kindly requested to use apps on PC's or mobile terminals if you plan to ask questions. But if you are not going to ask questions, you can use telephones. Since this conference is intended for institutional investors and analysts, we appreciate the understanding that we receive questions only from institutional investors and analysts as usual, we will post the audio contents of this conference in Japanese and English on our website within a couple of days, it will be appreciated if also visit our website. Now, Mr. Kawamoto will present the consolidated financial summary. Mr. Kawamoto, please.
Hiroshi Kawamoto: Once again, good afternoon. I am Kawamoto, of Finance Division. I'd like to present the consolidated financial summary of the second quarter of fiscal year ending March 2025. This slide shows quarterly financial summary. I will remind you what are the figures in the blue box. In the second quarter, we generated net sales of JPY566.5 billion, 2.1% increase from the previous quarter. Gross profit by JPY259.9 billion, 1.5% decline from the previous quarter. Gross profit margin was 45.9%, dropping by 1.7% point due to one-off inventory disposal and changes in product mix. Operating income was JPY148.1 billion, 10.6% decline from the previous quarter. Operating margin was 26.2%, dropping by 3.7% points from the previous quarter due to the decrease of the gross profit margin that I mentioned earlier, an increase obviously and SG&A to sales ratio including R&D expenses. Income before income taxes decreased by 8.2% to JPY153.6 billion, net income attributable to owners of parent was JPY117.7 billion, 6.7% decline from the previous quarter. The CapEx in the second quarter, mainly comprises development buildings both in Tokyo Electron Miyagi, and Tokyo Electron Kyushu, which are under construction right now. This is a graphic representation of the financial summary shown on the previous page on the chronological basis. As shown here, net sales have been recovering after hitting bottom in the first half of the previous fiscal year. This shows the financial summary on the semi-annual basis. The figures in the blue box are the financial results in the first half of this fiscal year. The far right column shows the financial estimates for the first half of this fiscal year we announced on August 8th. As you can see here in every item, we have achieved the guidance we announced on August 8th. In comparison with the second half of the previous fiscal year, we generated more net sales and profit, driven by strong customer demands compared with the first half of the previous year. Our financial performance has grown significantly along with the recovery of our customers WFE spending, net sales in the first half of this fiscal year hit the second highest level on a half year basis. This shows the new SPE equipment sales by application. In the second quarter, from the bottom of this chart, sales to non-memory customers accounted for 71% non-volatile memory accounted for 3% and DRAM accounted for 26%. The competition is comparable with studying the previous quarter. The new equipment sales slightly dropped in this quarter partly because recognition of some sales was pulled forward to the previous quarter. Inquiries from our customers, however, remain strong. This slide shows the field solutions sales. In the second quarter, field solutions sales were ¥139.5 billion, increasing by ¥21.4 billion driven by modifications. Also sales of parts and services rose along with the recovery of utilization rate in the customers fast. This slide shows net sales by region. In the second quarter, proportion of China dropped by 8.6 percentage point to 41.3%. Proportions of the other regions generally showed an increase. Proportion of China is expected to decline from the first half to the second half of this fiscal year. This slide shows balance sheet. The total assets were ¥2.517.8 billion, cash and cash equivalents were ¥525.5 billion rising by ¥87.0 billion from the previous quarter. Notes and accounts receivable were ¥371.7 billion increasing by ¥12.8 billion quarter-over-quarter. Inventories were ¥742.2 billion declining by ¥22.5 billion from the previous quarter. Investment and other assets were ¥386.5 billion declining by ¥84.9 billion from the previous quarter because of such factors as decreased market value of shares we own. For liabilities and net assets shown on the right hand side, liabilities were ¥719.4 billion decreasing by ¥3.0 billion from the previous quarter. Net assets were ¥1.798.3 billion increasing by ¥25.3 billion from the previous quarter. This change is primarily attributed to increase of assets due to recognition of net sales and decrease of assets due to decline of other securities valuation difference. The equity ratio was 70.8% for your information This slide shows the cash flow. The cash flow from operating activities in the second quarter was ¥148.6 billion. The cash outflow from investing activities was ¥54.4 billion, mainly due to acquisition of fixed assets. The cash outflow from financing activities was ¥600 million. The free cash flow was ¥94.1 billion. This concludes my presentation on the consolidated financial summary of the second quarter of the fiscal year ending March 2025. Now, Mr. Kawai will present the business environment and financial estimates. Mr. Kawai, please.
Toshiki Kawai: This is Kawai. I will present business environment and financial estimates. Thank you so much for joining us despite your very busy schedule. I will present business environment and financial estimates. Let me start with business environment. We expect calendar 2024 WFE market will be $100 billion-plus in size just we expected in August 2024, though partially customers investment for advanced logic has been slow. Thanks to the support of more overwhelming strong AI demand, WFE market is getting momentum surfacing the original guidance. At present customers continue active investment for AI service. Capital spending for AI service accounts for about 15% in the entire WFE spending growing as much as 1.5 times year-over-year, about half of that is for HBM applications. In parallel customers are activating advanced investment to prepare for full-fledged spread of AI mounted PC's and smartphones, which are also accounts for about 15% in WFE market investment driven by extremely robust AI demand investment for DRAM in particular for HBM is very, very active in advanced logic foundry. In addition to investment for scaling to four nanometer, three meter and two nanometer nodes and investment for their mass production. Advanced packaging and testing needs are growing rapidly. In Canada 2025, in addition to strong demand for AI servers, AI content in PC's and smartphone is expected to grow all in all proportion of tools for AI semiconductors will go up to 40% in the WFE market, one research companies say proportion of AI semiconductor in the semiconductor devices will grow to 70%, and accordingly, AI presence will also rise gradually in the WFE market. Following the recovery of investment for DRAM, investment for NAND is also expected to resume as the inventory adjustment proceed. A further recovery of WFE spending in advanced logic is expected to offset the low in investment for mature node. We expect that, these factors will drive double-digit growth in calendar 2025 WFE market. For AI applications, cutting edge semiconductor technologies are essential. Toward the realization of semiconductor devices featuring noise capacity or high speed and low power consumption technology innovation is moving forward, along with evolution of such technologies as GAA backside PDN and high stacking memories. Our business opportunity will expand more and more. This shows business progress in the second quarter of fiscal year ending March 2025. Regarding financial performance as Mr. Kawamoto presented earlier net sales profit and all other indicators achieved our guidance. To full implementation of the investment for high volume manufacturing advanced devices. We are receiving increasing inquiries for tools for advanced logic, DRAM for HBM and advanced packaging, which pushes up the proportion of our new products. This trend is expected to raise our full year net sales and profit to a record high. I will show you an entire picture later, we are steadily winning POR's with our high value added strategic products in this fiscal year as well. We have one POR's with high-k film deposition system DRAM capacitor and also single wire cleaning system with 24 chambers for NAND featuring high controllability and productivity for bonders which are expected to grow more in the future. We have one POR's from new customers with temporary bundle for HBM for which we have already gained high market share among the major customers. Another highlight is that we have one POR's with fusion bundle for backside PDN used in advanced logic and development POR's for SoC in advanced packaging. For the probers, we have an overwhelming share in advanced worship customers and our probers sales fiscal year is growing rapidly likely to be doubled year over year. We have won high volume manufacturing with prober for DRAM as well, because of its advantage in temperature controllability from a major customer in this fiscal year for cryo etching which attract attention in the market. We have confirmed a significant progress to high volume manufacturing POR at multiple customers. This diagram shows focus data presented by TechInsights, which represents size of the WFE market and test and assembly market. As shown here, both WFE and test assembly markets expected to grow strongly and it is AI and advanced devices that drive this growth. Various development items shown on the right hand side are currently underway leading edge web purposes tools to be delivered in massive volume and tools for advanced packaging, and testing which are rapidly growing in both of these two fields. We have formed significant number of high volume manufacturing POR's and development POR's although, which will provide us with growth potential for the future. In this fiscal year, AI-related sales alone will be more than ¥600 billion. By leveraging our broad product portfolio will embrace growth potential as much as possible in both scaling and packaging. Toward the achievement of the Mid-term Management Plan, our business is advancing steadily right now. In next fiscal year, we expect the application shown on the table will account for about 70% of our sales. We will hold IR Day, February 26, 2025 where we'd like to talk about Tokyo Electron’s growth potential. We will announce more details about this event. Please join us in this event. Next, I will present the financial estimates for fiscal 2025. As I described earlier driven by the strong demand for AI-related devices, WFE market is currently in recovery. For calendar 2025, full-fledged WFE spendings are expected to start to advanced memory and advanced logic. We have revised the financial estimate upward by reflecting first half results and latest market trend. Fiscal 2025 full year net sales estimates are ¥2,400 billion, which represent 31% positive growth year-over-year. We expect to considerably outperform the market growth. We estimate ¥1,129 billion for gross profit, ¥680 billion for operating income and ¥526 billion for net income attributable to owners of parent. In order to capture future growth opportunity as much as possible, we plan to invest ¥254 billion for R&D. Net sales gross profit, gross profit margin, operating income, net income and EPS are expected to hit record high. This slide shows SPE new equipment sales forecast in fiscal 2025. As shown here, sales are recovering after bottoming out in the first half of previous fiscal year. For the second half of this fiscal year, we expect record high half year sales. This shows our plan for R&D expenses and CapEx. In fiscal 2025, as presented before, we expect R&D expenses of ¥254 billion, CapEx of ¥170 billion and depreciation of ¥63 billion, all of which are expected to hit record high. This slide shows the dividend forecast. Based on revision of fiscal 2025 financial estimate, the full-year dividend per share is expected to be ¥571 per share, surpassing the record posted in the fiscal year ended March 2023. In the Board of Directors meeting held today, we decided to implement share repurchase of up to ¥70 billion. Back in February 2024, we announced our plan to spend R&D expenses of ¥1.5 trillion and CapEx of ¥700 billion for five years to come starting from this fiscal year. This share repurchase has been decided by comprehensively taking into account various factors, including investment for our expected growth bill next fiscal year, enhancement of our cash generation ability and our cash position, as well as improvement of capital efficiency. Looking ahead toward our expanding business opportunities, cash generation ability and cash efficiency improvement, we are going to manage balance sheet flexibly. This is my last slide, showing total return amount over the past few years. The total return amount in this fiscal year, totaling the dividend per share and additional share repurchase that I presented earlier, is expected to be ¥413.9 billion, established in the new record, beating the record in the previous fiscal year ended March 2024 by more than ¥100 billion. We are planning to essentially cancel the shares we plan to repurchase during this fiscal year. Thank you very much. This concludes my presentation.
A - Koichi Yatsuda: We will have question-and-answer session until 6:30 Japan time. You can ask questions either in Japanese or English but our speakers are on the Japanese channel. Please allow us to take all your questions only in Japanese. If you ask a question in Japanese, please click the raise hand button on the Webex. For details, please refer to the instructions attached to the invitation email. I will call the name of the person who asks a question one by one. Our secretariat will contact you in advance, so please check the Webex chat box. When asking a question, you are kindly requested to unmute your microphone for yourself. When your question is answered by our attendees, please hit the raise hand button again to remove raise hand signal. For questions in English, please use Webex chat box and give your affiliation, name and your question in text and send it to our secretariat. We will refrain from answering questions if your name and affiliation are not given. On the Japanese channel, we will translate your question, English question, and I will read it out in Japanese and speakers will answer in Japanese. On the English channel, the question-and-answer will be simultaneously interpreted into English on the real-time basis. As we'd like to take questions from as many participants as possible, we will take one question per person. If time allows, we will take additional questions. Now the first question is from Mr. Yoshioka from Nomura Securities.
Atsushi Yoshioka: Thank you very much. So I have one question, one question per person. Is that correct?
Koichi Yatsuda: Yes, thank you.
Atsushi Yoshioka: Could you let us know about the WFE market in 2025? You said, double-digit growth is expected on page 13. So I think there's been no changes from the previous financial announcement in terms of the statement given. However, over the past three months, there have been many changes I believe. Are there any changes in the degree of double-digit growth with some nuance in the growth potential in the WFE market? Thank you.
Toshiki Kawai: In principle, double-digit growth is expected and we haven't changed our idea for calendar 2025 WFE market, logic is very strong at present. The investment for memory, especially for HBM has been growing significantly. So leading edge logic, almost the same level of the investment is expected as this year. And for DRAM memory area, the investment is expected to grow further more for HBM. The investment is expected to grow, NAND investment is also recovering because of those factors, double-digit growth is expected this year. Proportion between the logic and memory are seven to three. But next year, the proportion should be six to four. So memory proportion will go up next year. So logic WFE is almost comparable to this year. But WFE spending for memory increases, as a result, proportion between logic and memory will become six to four next year. That's the reason why I expect double-digit growth next year.
Atsushi Yoshioka: Thank you very much for by applications. I understand your point. But what about China? How do you view China market next year? The proportion of China will be changing. How do you think about that?
Hiroshi Kawamoto: For WFE as a whole, the China proportion is expected to decline to 30% level. So in the second half of this fiscal year, it's below 40%. But next fiscal year, the China proportion should be about 30%, getting – going back to the previous level. There are two reasons. Number one, the leading edge investment is increasing. That's one thing. Number two, and many new emerging customers in China are now focusing on enhancement of yield rather than investing for capacity enhancement. Because of those two reasons, China proportion will be declining. I think competitors are having very similar view on China. So maybe the proportion of China will become about 30% next year.
Atsushi Yoshioka: Thank you very much. Thank you very much for your answer.
Koichi Yatsuda: Mr. Yoshioka, Thank you very much for your question. Next question is from Mr. Yoshida of CLSA Securities. Mr. Yoshida, please?
Yu Yoshida: I am Yoshida, from CLSA securities. Thank you very much. For SPE new equipment sales, your company, are outgrowing the WFE market, which product is driving your good performance. And next month you said, you are winning POR and application mix will be shifting to memory. So by product, what is the driver? I wonder there might be some changes in driver by product. So I want you to give us the information about driver for this year and next year in terms of product, fortunately, the scaling, and patterning, and packaging, and testing in those areas?
Toshiki Kawai: Our company's product portfolio is rather growing. On page, this slide showing the data from TechInsights. So by application shown over here, the Coater/developer, Etch system, and Film Deposition system and Cleaning Systems, these areas are to be delivered in massive volume and they are growing especially for HBM applications. This is high volume zone, including HBM and AI-related, Advanced logic. For DRAM, DDR5, so these areas are showing the growth. So Testing and Assembly market, on the other hand, compared with WFE market. The size of the Testing Assembly market is smaller in size. The blue squares in the right table, they are representing Testers and Assembly. The purple squares are for WFE market related equipment. So Testing and Assembly process and you can see its ratio increasing, the Bonding and POR's alone compared with previous year. We can see the increase more than ¥100 billion.
Yu Yoshida: Actually, the growth is almost doubled in this fiscal year contributing to record high results. So probably the PRO's and Bonders compared with the exposure to the entire market rather small. Therefore, Etching System, Coater/developer and Film Deposition System in those three applications, which product is growing most next year, are there any changes in terms of drivers?
Toshiki Kawai: So it depends on the market size. For Etching, this is a big portion GAA Nanosheet investment is expected to grow next year, already started this year. So you can expect the investment more and maybe two years from now, the full flex investment will start for 2-nanometer and Etching grow. Further more Coater/developer based on the high market share. I think you can see strong growing. And for Film Deposition System, we are winning POR steadily. So these are the current conditions. So for those applications shown on this page, the dots and blue portion, there are representative examples and they are related to our application. And we have started evaluation of those applications together with our customers. These areas will become by 2025, it comes for 70% or more than 70%. So, the product portfolio over here drive our growth potential. This is I would like you to understand the situation. As you can see the diversified, major products are delivered by a company and for packaging, bonding, testing. In other words, PRO's are growing steadily as well.
Yu Yoshida: Thank you very much.
Toshiki Kawai: Thank you very much for your question.
Koichi Yatsuda: Mr. Yoshida, thank you very much for your question. Next question is from Mr. Nakamuram, Goldman Sachs, Japan. Mr. Nakamuram, please.
Shuhei Nakamura: Thank you very much. This is Nakamura. Can you hear me?
Koichi Yatsuda: Yes, I can hear you well.
Shuhei Nakamura: So, earlier, Mr. Kawamoto said your sales to China will be declining in proportion from the first half to the second half of this fiscal year, 46% should be the actual proportion of China in the first half of this fiscal year. What is the percentage or proportion of China in the second half of this year and next year? So, how about this absolute value of sales to China for next fiscal year could you share your idea with us, please?
Hiroshi Kawamoto: So, this is Kawamoto. Let me answer to your question. The first half of your question, in the first quarter, we had a very high proportion of sales to China, but second quarter maybe declined. So, 45% should be the proportion of China in the first half of this fiscal year as you said earlier. For the second half of this fiscal year, as Kawai said earlier, the proportion of China will go down to the 30% level. For next fiscal year, again, as Kawai said earlier, the leading edge or advanced node will increase. So, proportionally, there is a kind of low for the China customers. Therefore, the proportion of China sales will go down to 30% the previous figures. For the first half of this fiscal year, the China proportion should be 45%, the second half will decline by nearly 10%, and next fiscal year further decline is expected. So. the China proportion will go down to the 30% level in next fiscal year. The investment for advanced node including investment for 2 nanometer and the investment for 2 nanometer will start in a full-fledged manner two years from now. Therefore, the China proportion will go down to the 30% level.
Shuhei Nakamura: Thank you very much. I have one follow-up question for this fiscal year. Now, you have revised your sales focus by ¥100 billion. So, what is the proportion between China, sales to China, and sales to other regions in your upward revision?
Hiroshi Kawamoto: The advanced logic area, we have additional inquiries in the field of advanced logic. On the other hand, so there are some revision of the customers for advanced devices, the proportion between advanced node and mature node to be 50/50. These are the factors which made, made us to revise our estimate down word.
Koichi Yatsuda: Thank you very much Mr. Nakamura. Next question is from Mr. Yasui of UBS Securities. Mr. Yasui, please.
Kenji Yasui: I am Yasui from UBS Securities. Once again, I have one question. For the second half of this year, you have up to 47.3% of the gross profit margin. On the other hand, China proportion goes down. I think the China sales feature high profit stability. So, why the gross profit margin goes up, although the China proportion goes down in the second half of this fiscal year?
Toshiki Kawai: So, the -- as I said earlier in my presentation, the leading edge area, the high value added area business are growing steadily as I said earlier in my presentation. So, we have some advantage in that area and that advantage is recognized by the customer and we can provide high value added to the customer. That is the reason why, the gross profit margin goes up. In other words, HBM logic and packaging and testing in these areas, the technology advancement is going on and accordingly our technology advantage is recognized and that leads to high value added products of our products and the main drivers in because of high value we can provide. Although the proportion of China goes down, we are able to increase gross profit margin in the second half of this fiscal year. I have one additional comment from the first quarter to second quarter. The gross profit margin goes down went down because of the product mix. So we have high market share product, whose gross profit margin is rather high, that proportion goes down. Another one is, one off inventory disposal, because of that, the gross profit margin goes down from the first quarter to second quarter. So, this is a major reason.
Kenji Yasui: We are just talking about the second half, second half of this year. The question is about second, yet, as I wanted to know both, for the second half of this year and the difference between first quarter and second quarter.
Toshiki Kawai: So the region mix changes, but because the product mix, you can see some improvement. Therefore, for this fiscal year, if the gross profit margin is as planned next year, you may see further increase in gross profit margin or do you think there is no change in gross pocket margin next year? So I think if we can keep balanced business and we are doing business in a balanced manner. So 2027 fiscal year is JPY3 trillion on or more is to be achieved in year -- fiscal year end in March 2027 -- OPM of 35% or more and ROE of 30% or more. That's part of our midterm management plan. And the new, our new products progress in this fiscal year will help us to improve our business performance. So we can add more POR's for hybrid introduction in addition to 70% that I mentioned earlier. So we have a steady progress towards the achievement of the midterm management plan. So this is how our business is going on, in a balanced manner. The semiconductor manufacturing industry is characterized by the very rapid changes but very fast technology innovation. So we need to continuously have the world leading technology innovation. That is the reason why, we are investing more than JPY1.5 trillion for R&D and JPY700 billion or more CapEx for five years to come. We are going to implement those five year plans steadily for R&D expenses and CapEx. Thank you very much.
Koichi Yatsuda: Thank you very much Mr. Yasui for your question. Next question is from Mr. Wadaki of Morgan Stanley, MUFG Research Japan.
Q – Tetsuya Wadaki: For next fiscal year, So it depends on China. We don't know what happens next year depending on China's situation. But 2025, the China WFE market growth. What is your assumption for memory and non-memory, especially for memory? I think I saw the similar thing in Cox Electric [ph]. Many of the customers are putting forward their orders. So they have some concern for next fiscal year’s performance. So China as a whole, how -- what sort of growth do you expect in the China WFE market? And what is the breakdown between memory and non-memory?
Toshiki Kawai: There are numerous customers in China. Therefore, in my mind, there is no breakdown between memory and non-memory. But when it comes to China, sales or WFE market in China, the China WFE market is expected to decline. You said earlier, WFE market shows double-digit growth while the proportion of China will go down by 40%. That means Chinese market sets will decline by 20%. Is that correct?
Toshiki Kawai : I don't think 20%. So I think decrease by double-digit, that's our expectation for China market.
Tetsuya Wadaki: So I have one follow-up question. This forecast is based on the export control by the American government. How do you factor in the export control?
Toshiki Kawai : So, geopolitical issue and regulations are to be watched closely. That's what I always say, already, there are various information coming in. So regulations will be imposed and even after regulation are imposed, we need to get the permit Miyagi [ph]. There are some products which we may get permit and there are some other product which we may not be able to get permit from Miyagi. Based on that assumption, we report those fears.
Tetsuya Wadaki: Thank you very much. That was very clear.
Koichi Yatsuda : Mr. Wadaki, thank you very much for your question. Next question is from Mr. Hirakawa, BofA Securities. Mr. Hirakawa, please.
Mikio Hirakawa: I'm Hirakawa of BofA. My question is very similar to the previous question, second half of this fiscal year. So when you see the competition by application, I got information for the first quarter results, I think there have been no changes. So I think the DRAM, non-volatile memory, non-memory, all of them are growing generally. But by region which region is a major driver to make you revise your focus upward?
Hiroshi Kawamoto : The primary driver is Taiwan. So, in terms of upward division of our estimates, the mature node customers in China are added. There are addition in the mature node customer in China, but major driver is the leading edge countries by region Taiwan followed by Korea and China, partially United States, including memory area, the advanced memory and advanced logic, as well as the mature mode in China, the major drivers.
Mikio Hirakawa: Thank you very much for detail.
Koichi Yatsuda : Mr. Hirakawa, thank you very much for your question. Next question is from Mr. Damian Thong of Macquarie Capital Securities. Damian, please.
Damian Thong : Can you hear me?
Koichi Yatsuda : Yes.
Damian Thong : On page 8, now you can see the field solution sales for the second quarter. You hit the record high and Q-o-Q, quarter-over-quarter and year-over-year, you can see drastic increase. What is the reason for this drastic increase and what will happen in the third quarter, fourth quarter and next fiscal year? Are there any special factors to raise the field solution sales or now utilization rate is increasing right now for advance those? So can you see some tail we next year as well?
Hiroshi Kawamoto: So, as you pointed out in your question, the customers feature higher utilization rate accordingly, the part sales has been growing steadily installed base is growing. And also the customer utilization rate is increasing, because of these factors, service and parts sales as well as the sales are increased because of the growing installed base. So these are major reasons for the increase of the fuel solution sales.
Damian Thong: Thank you very much. So this level of fuel solution sales, you said double-digit growth is expected next fiscal year including product and service. When you just look at the service, what sort of growth rates do you expect for next fiscal year?
Toshiki Kawai: So IR department will answer to your question. As of today, we don't working on next fiscal year's budget, but customers' utilization ratio is improving, especially for NAND. The first half of this fiscal year, the utilization ratio of NAND process is rather low, but it's growing. Maybe the investment for NAND will be doubled next year. Therefore, you can see growing installed base. Accordingly, the utilization rate is increasing. DRAM is also active and logic is also very active. But when it comes to mature node, there are some weak utilization rate for mature nodes. I hope this answers your question. So you can see strong inquiries for the advanced logic and advanced memory. But when it comes to mature node, you can see some slowing trend. So the growth rate expected for next year, actually, we haven't calculated the expected growth ratio for next year.
Damian Thong: I have one follow-up question. For next fiscal year, Chinese WFE market is declining. However, when it comes to service -- field solution service in China, the utilization ratio is expected to grow further more by improving the yield rather than capacity enhancement. So field solution sales in China although WFE market declined slightly, are there any possibility that field solution sales in China increased next year?
Hiroshi Kawamoto: This year, China gets stronger because of the active investment by the emerging customers in China. And they are working on the yield enhancement and utilization ratio is not so high. So when yield is enhanced, we can expect a further increase in utilization ratio. However, we don't see such kind of trend yet among the Chinese emerging customers. Thank you very much.
Toshiki Kawai: Thank you very much, Damian for your question. Next question is from Mr. Shimamoto of Okasan Securities.
Takashi Shimamoto: I am Shimamoto of Okasan Securities. For WFE for 2025, the memory should be the swing factor. In the previous meeting, DRAM increases by 20% to 30% and NAND will be increasing 2x. Do you have the same idea for DRAM and NAND still now? For NAND, compared with DRAM, the NAND market is rather small, but NAND market is to be doubled. And DRAM growth is expected as well. So as you said, we haven't changed our idea for the market trend for DRAM end market. If you can give us some qualitative comments. Are there any enhancing trend or declining trend for NAND? I think the recovery might be delayed next fiscal year. Do you see such kind of trend in NAND market? So far, we haven't seen any significant changes. I have one follow-up question. For cryo etching POR, so significant progress is achieved. I want to know specifically, it's so difficult for us to imagine what happens. Maybe you can tell something what sort of progress has been achieved for cryo etching? And how much sales do you expect for next year?
Hiroshi Kawamoto: If some sales are recognized for great cryo etching? Because that's whatever you can say now. So multiple customers and the applications of cryo etching has been increasing slightly. So the characteristics are now being evaluated and verified right now. So if the customer can enjoy the desired characteristics, maybe we can have a negotiation with the customer for the mass production POR. 10-micron depth can be etched without being or tilt. At the same time, environmental performance, which is very important, is really good. We don't use carbon gas. So 400 layer will be introduced in the future, then we will see more and more applications for this cryo etching. The etching is rather big in area. The volume zone etching should be around 2026. 2025, the cryo etching will have some contribution to ourselves, but volume zone will come in 2026. Do we have any specific amount for the size of the market?
Toshiki Kawai: Too early to say. I reported some figures in the past, I believe the size of the market. No, we haven’t publicly announced any signs of the potential market of prior etching. I'm sorry, I'm sorry. As for the submarket size, we haven't presented any report. So maybe you can see the drastic increase or sudden increase of the application, the cryo etching will observe in the future. But one thing, maybe two years from now, we have a cryo etching will start contributing to ourselves. 2027 the market size, these are JPY2 billion. That's what we said earlier, but that's two years from now. So far we haven't changed this prospect drastically.
Koichi Yatsuda: Thank you very much. Mr. Shimamoto, thank you very much for your question. Actually, we have four more questions, four more people raising hand. Next question is from Mr. Yamamoto from Mizuho Securities.
Yoshitsugu Yamamoto: I have a question regarding share repurchase. So JPY80 billion and now we have additional JPY70 billion. You said you have the flexible implementation of the share repurchase and I think that's true. So I don't think that there is no major change in the policy for share repurchase. But are there any particular reason or trigger that you have decided to do some additional share repurchase? And are there any indicator to do another share repurchase next fiscal year, if any?
Hiroshi Kawamoto: So now we are going to do the appropriate balance sheet management. That's what we always say, in particular, in terms of ROE around 30% double up ROE is our constant target. So that's part of our constellation to decide the additional repurchase of shares. Of course, we are watching the market trend, our cash position as well as ROE of about 30%. So we are doing the share purchase, so that we can achieve the ROE about 30%..
Koichi Yatsuda: Thank you very much. Mr. Yamamoto, thank you very much for your question. Next question is from Mr. Hanaya of SMBC Nikko Securities.
Takeru Hanaya: Thank you. I am Hanaya. The Taiwan is really strong, I know that, but other advanced project, manufacturers are not doing so well. I mean those circumstances, ASML has revised their forecast for next year, downward. You have 100% market share for EUV, does the downward revision of ASML sales for next fiscal year have some negative impact on your financial estimate for your next year.
Toshiki Kawai: As far as we are concerned, we while our orders are increasing steadily. Therefore, in terms of coater/developer, there have been no major changes in coater/developer business, and there is no big volatility in our business of coater/developer that business is growing. Mr. [indiscernible], we have additional comments. For next fiscal year DRAM and NAND driver, especially DRAM for skating, so not only EUV but also the existing emergent lithography demand is increasing. So not only a EUV, but also the emergent lithography, we do have high market share in accordance with the market growth, our sales expected to grow next year steadily.
Koichi Yatsuda: Mr. Hanaya, thank you very much for your questions. Thank you very much. The last question is from Mr Shibano of Citigroup Global Markets, Japan. Mr Shibano?
Masahiro Shibano: I have a simple question, just clarification and very simple. Follow up for '24 and '25 WFE market forecast, you use the same sentence as the previous financial announcement, but how about reality? Are there any changes you can just give, give me one word answer. Should you record to detect insight information and strong growth is expected for the future? According to Mr. Kawai's understanding, earlier this year, you presented R&D expenses headcount enhancement and CapEx enhancement. We are going to increase it by 1.5 times. But do you need further enhanced budget for the future or do you just follow the initial plan for R&D headcount and CapEx?
Toshiki Kawai: The business opportunities are expanding, served available market is growing right now. So, we are given great opportunities in that says ¥1.5 trillion or more or ¥700 billion or more expenses. So we cannot give you any quantitative additional expenses for R&D expenses and CapEx as of today, but we may need more expenses for R&D and CapEx. And we are now preparing the plan for the future. For WFE market forecast, double digit growth is expected for next year, page 13 shows some information. So AI servers investment, the proportion of fat for next year accounts for 20% in total WFE and AI mounted PC's and smart phone accounts for 20% within WFE market. And conventional, PC's is unconventional smartphones accounts for 30%. So these are the major drivers for this year, 15%, 15% and 35%. Therefore, 65% are driven from the leading edge node. But next year, the 65% will be increased to 70% especially driven by AI related demand. So the market itself is expected to grow on the double digit basis, but AI deleted servers and PC's and smartphones expected to grow further more. In the future AI area is expected to grow further more. According to our perspective, there have been no major changes in our idea for the future market trend. So, there have been no major changes from the previous financial announcement.
Masahiro Shibano: Yes, that's correct. Thank you.
Toshiki Kawai: And the new area, we are winning POR's, so we have started some evaluation. Therefore, we are making steady progress towards the midterm management plan.
Koichi Yatsuda: Mr. Shibano, thank you very much for your question. So now it's time for us to close the financial announcement.
Koichi Yatsuda: Before closing, however, I'd like to make one announcement as Kawai announced in his presentation, we will hold IR Day at 4:00 PM in the afternoon of February 26, Wednesday, 2025. In this event, we plan to present our business opportunities, expanding along with the global we and this assembly to market, our initiative to embrace the opportunity as much as possible. So we would like very much appreciate your participation. We will inform you of the details of this event later. We'd like to continuously improve our R&D activities, IR activities based on your precious feedback. So we would appreciate your kind of cooperation in filling out the questionnaire before you accept the Webex. Thank you very much for taking time to join this conference despite your busy schedule. Thank you very much.